Operator: Greetings and welcome to the STAG Industrial, Inc. Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Mr. Matt Spenard, Vice President of Investor Relations for STAG Industrial. Thank you. You may begin.
Matt Spenard: Thank you. Welcome to STAG Industrial's conference call covering the third quarter 2015 results. In addition to the press release distributed yesterday, we've posted an unaudited quarterly supplemental information presentation on the company's website at stagindustrial.com under the Investor Relations section. On today's call, the company's prepared remarks and answers to your questions will contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address matters that are subject to risks and uncertainties that may cause actual results to differ from those discussed today. Examples of forward-looking statements include statements relating to earnings trends, G&A amounts, acquisition volume, retention rates, debt capacity, dividend rates, industry and economic trends and other matters. We encourage all of our listeners to review the more detailed discussion related to these forward-looking statements contained in the company's filings with the SEC and the definitions and reconciliations of non-GAAP measures contained in the supplemental informational package available on the company's website. As a reminder, forward-looking statements represent management's estimates as of today, Wednesday, October 28, 2015. STAG Industrial will strive to keep its stockholders as current as possible on company matters, but assumes no obligation to update any forward-looking statements in the future. On today's call, you will hear from Ben Butcher, our Chief Executive Officer; and Geoff Jervis, our Chief Financial Officer. I will now turn the call over to Ben.
Ben Butcher: Thank you, Matt. Good morning, everybody and welcome to the third quarter earnings call for STAG Industrial. We're pleased to have you join us and look forward to telling you about the quarter. Presenting today in addition to myself, will be Geoff Jervis, our Chief Financial Officer, who will discuss the bulk of the financial and operational data. Also with me today are Steve Mecke, our Chief Operating Officer; Dave King, our Director of Real Estate Operations; and Bill Crooker, our Chief Accounting Officer. They will be available to answer questions specific to their areas of focus. The third quarter was a strong one for STAG on almost every measure. This was readily apparent in the continuation of our robust leasing activity, healthy acquisition volumes, continued asset dispositions, and resultant portfolio improvement, and most importantly, strong earnings growth. Geoff will share our results with you in a moment. Before that I would like to share STAG's simple five point action plan that we designed in response to current market conditions. These steps are one, demonstrate equity discipline; we've not issued equity since June 30, and will not issue equity at recent pricing levels. Two, demonstrate G&A discipline. We had moderated G&A cost in this quarter and will moderate the growth in coming quarters. Three, establish liquidity. As a result of our recent actions in the debt capital markets, we now have nearly $500 million of immediately available liquidity and expect to have $650 million in the near-term. Our current debt to run rate EBITDA ratio of 5.0 times is the low end of our promulgated leverage range is below our BBB flat investment grade rating target and gives us lots of room to operate before needing additional capital. Four, get back on earnings growth path. Yesterday we reported core FFO of $0.39 per share for the third quarter. We will continue to drive our earnings growth going forward. Five, establish alternative capital sources. As prudent managers we will explore capital raising alternatives, including joint ventures on asset sales, if our share price remains at levels where we are and willing to issue equity. With that, I will turn it over to Geoff to walk through our third quarter results.
Geoff Jervis: Thank you, Ben, and good morning everyone. Starting with acquisitions, during the quarter we acquired 18 properties for a purchase price of $108 million and a weighted average cap rate of 8.2%. Year-to-date we have acquired and are under contract for LOI to acquire $391 million of properties. We've probably stated that our goal is to grow our asset base 25% a year and our resultant 2015 acquisition target was $450 million. Our activities to-date potentially account for 87% of the target. While we've a target in order to help the Street model our business, internally, we rely on our risk assessment model to find value and our volume will ultimately be dictated by, in large part our models quantitative conclusions. We believe that the opportunity for STAG is large and attractive and the key to our success will be taking a long-term approach and remaining disciplined. In short, we're in no rush. On the disposition front, we sold two properties during the quarter for net proceeds of $9.2 million. These two properties were generally underperforming our expectations and represent a calling of the herd, so to speak. On the other end of the spectrum, we sold the property subsequent to quarter end in Michigan for a six cap rate, which compares very favorably to our cap rate at acquisition. We are constantly evaluating the portfolio for opportunities where the market is going to price an asset in excess of our internal assessment of value. All of the aforementioned dispositions represent such situations. Turning to our portfolio. At quarter end, we owned 281 buildings in 37 states with a total of 52 million square feet. Occupancy stands at 95.7% for the portfolio and our average lease term and rent are 4.1 years and $3.99 per square foot respectively. We continue to see robust activity in the leasing markets as evidenced by cash and GAAP rent growth of 1.6% and 5.2% respectively, another strong quarter. Going forward, we expect to continue to see similar rent growth in the portfolio. On the retention front, we achieved a 90.4% retention rate on the 2.1 million square feet rolling this quarter, representing the largest amount of quarterly expirations in the company's history. In total, over the last 12 months, our retention rate has been 73% and we expect retention for 2015 to be in the 70% range. Turning to the quarter's operations. Cash net operating income or cash NOI grew by 33.4% from the year ago period. Same-store cash NOI was down 0.4% quarter-over-quarter and up 0.6% year-to-date compared to 2014. We continue to expect to see modest same-store growth going forward due to our acquiring 100% occupied properties in a low-to-mid 90% occupied market. Core funds from operation or core FFO grew by 32% compared to 2014. On a per share basis, core FFO was $0.39 per share, up 8.3% compared to last year and the previous quarter. This is the highest core FFO per share in the company's history. As Ben mentioned, our five point plan is anticipated to lead to continued growth in the near, medium, and long-term. On the dividend front, the Board voted to increase the monthly dividend from $1.38 per share annualized rate to $1.39 per share annualized rate. Our current dividend represents an 86% AFFO payout ratio down from over 90% in previous quarters. Before we switch to the balance sheet, I want to spend a moment on G&A. G&A this quarter was $6.4 million, down 14% from last quarter as we moderated our expenses, primarily compensation. For the year, we expect G&A to be approximately $29 million, down from our previous forecast of $30 million. Looking to 2016, we expect G&A of approximately $32 million, down from our previous projection of $33 million. Turning to the balance sheet. As a result of our recent actions in the debt capital markets, we now have nearly $500 million of immediately available liquidity and expect to have $650 million in the near-term. While we have an abundance of liquidity, we remain committed to a low leverage balance sheet. The result of this is on a very strong credit metrics with debt to run rate EBITDA at five times at quarter end. We continue to strive for a defensive balance sheet and believe that we have achieved our goal to-date as evidenced by our ratings upgrade to BBB flat in May. Going forward, we anticipate continuing to run the company at a rate between roughly five and six times debt to run rate EBITDA. Looking at our liabilities, at year-end, we had approximately $860 million of debt outstanding, with a weighted average remaining term of 6.5 years, and a weighted average interest rate of 4.09%. All of our debt is either fixed rate or has been swapped to fixed rate with the exception of our revolver. On the equity front, other than a small ATM sale at the end of June that settled in July, we have not raised any equity and we require either continued improvement in our share price or extraordinary opportunity in order to change our posture on this front. In summary, it was a very good quarter for STAG. The company delivered operationally with an historic leasing quarter, continued to execute on accretive acquisitions and opportunistic dispositions, and demonstrated prudent capital management. Most important, we delivered core FFO growth of nearly 8% quarter-over-quarter. As we look forward, we are excited that we are building a best-in-class platform not only for the opportunities presented to us today, but also for the opportunities that we foresee in the future. And with that, I'll turn it back to Ben.
Ben Butcher: Thank you, Geoff. As Geoff has described, this quarter's results show STAG's return to growth and per share metrics reporting record earnings of $0.39 per share. The conservatism of our balance sheet one, running leverage at the low-end of our promulgated debt to run rate EBITDA range; and two, significant lengthening of the duration of our liabilities cost us in terms of earnings growth over the prior quarters. However, it also put us in the very liquid position we are in today as we continue to identify accretive investment opportunities. Since our last call, we have preached and adhered to the simple message outlined earlier. We believe the resulting earnings growth and demonstrated discipline will work to get our stock back to acceptable levels. To-date we have made great progress, although we certainly have more to do. We continue to be very excited about the future for our company over the coming years. We thank you for your time this morning and for your continued support of our company. I will now turn it back to the operator to open the floor for questions. Thank you.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Sheila McGrath with Evercore. Please proceed with your question.
Sheila McGrath: Hi, guys, good morning. I have a couple of quick questions. First, Geoff, I was wondering if you could clarify on core FFO, did that exclude all lease termination fees for the quarter.
Geoff Jervis: Yes. Good morning, Sheila. Yes, the core FFO is a proxy for recurring income and core FFO is in addition to our same-store numbers, our EBITDA numbers, and our AFFO numbers do not include the benefits of termination income.
Sheila McGrath: Okay, great. And then Ben, the stock price had moved closer to where you last raised ATM capital which I think was somewhere over $21 a share. How should we think about your ATM philosophy right now, if the shares go back over towards that level during fourth quarter will you tap the equity markets, if you could just give us insights?
Ben Butcher: So I think that the most important thing is what we mentioned on the call is we're at the low-end of our leverage range. So if we, in the process of acquiring assets, we're normalizing our leverage into sort of more of the middle of the band, if you will, five to six times that figure. So the question of whether or not the fact the ATM market is a little premature for that reason. I think, as we move forward into 2016, those questions wouldn't get asked, but for right now we have plenty of runway.
Sheila McGrath: Okay, great. Last quick one on you mentioned slowing G&A, other than stock-based compensation accruals being lower, what are the other sources of G&A savings?
Ben Butcher: Well, we had talked about building the platform to take advantage of the opportunities and we continue to make investments in the platform. We've just slowed down the pace at which we're doing that. So it means slowing down the pace of headcount additions, but we're not doing anything to diminish our capacity to continue to grow accretive. So the machine is still being built, it's just being built perhaps a little less quickly.
Operator: Thank you. Our next question comes from the line of Juan Sanabria with Bank of America. Please proceed with your question.
Juan Sanabria: Hi, good morning. It seems like dispositions are becoming a little bit more of a focal point although you do have the leverage capacity like you talked about. Any sense or can you help us think about how much you could actually sell or what would be considered non-core FFO assets that you could prune in and any thoughts on cap rates of this potential sales?
Ben Butcher: Yes, I mean as a prudent manager obviously we're looking at our portfolio all the time and trying to assess the assets that may be long-term belts in into that portfolio. I think the market we had; we will sell assets one that are worth more to somebody else than are to us as a whole. But it's -- I don't know what the actual percentages, it's a fairly de minimis amount at the bottom but we will continue to look at those opportunities and the assets that we sold following the quarter is an opportunity where not calling a herds it's more specifically an asset that we sold at a very strong cap rate because somebody else wanted to buy and they valued it higher than we would have valued within our portfolio. I think you will consent, continue to see we don't see it as a major source of capital, we see it more as an alignment of the portfolio to where we want to be going forward.
Geoff Jervis: And I would just add that those dispositions are almost exclusively in the pre-IPO portfolio.
Juan Sanabria: Okay. And then, could you just comment on any movement you may or may not have seen in cap rates given just movement in the capital markets particularly on the debt side, have you guys seen anything or nothing to-date on the warehouse space in the secondary market?
Ben Butcher: I think -- I think that we're seeing, we continue to see movement of capital sort of broad -- more broadly across the markets. Our pipeline at $1.07 billion is as big as it's ever been. So we're still seeing lots of opportunity for us to make sense for us. We get a sense that may be our hit rate has diminished because of the floppiness of the market. But I think some of that's also little bit of a mix change and we're just -- we're seeing more assets broadly across the market and we're approaching or making more unsolicited offers which will always have a lower hit rate. So I think there's a little bit of strength of frothiness. I will turn it over to Steve Mecke who has actually run that part of our business.
Steve Mecke: Yes, I mean, on group band that we're not only seeing the deal flows is the highest it's ever been. There is some seller expectation as we go into the fourth quarter that they’re looking for some lower cap rates on their deals. The curiosity for us would be whether or not they actually end up transacting at those levels or if they actually fly back into the market which we've seen before. So at this point we're seeing probably stable cap rates but coming down a little bit nothing noteworthy.
Ben Butcher: One of the things that Steve said to me yesterday was that the sellers' expectations of lower cap rates have made may be the amount of closed transactions go down, it's not necessarily that they're executing there. They see some of the big portfolio trades with cap rates in the fives and all of a sudden they think their asset in suburban Cleveland should be selling at a 5 cap that clearly isn't the case. And as we move through the fourth quarter people want to get things done as the year, and they get more realistic that’s yet to be seen.
Juan Sanabria: Great. And just one quick word for me. In terms of maintenance CapEx what's your guidance and rule of thumb for what we should be budgeting and is that an all-in number or are there numbers that are kind of flowing through the cash flow statement that that may not necessarily be captured in the fad number?
Ben Butcher: Dave, do you want to?
Dave King: Our maintenance CapEx today is in the $0.20 range per share [indiscernible], and we would expect to continue that. We're buying as -- though you're buying in general are higher quality that the existing portfolio particularly the pre-IPO asset. So I'd expect that number to moderate at about $0.20.
Juan Sanabria: And is there any repo will come on, what that represents on per square foot basis?
Dave King: $0.20 per square foot.
Operator: Thank you. Our next question comes from the line of Gaurav Mehta with Cantor Fitzgerald. Please proceed with your question.
Gaurav Mehta: Going back to your five point plan and I think you mentioned alternative sources including JV and asset build. Can you also discuss the attractiveness of between OP units today?
Ben Butcher: Yes, obviously OP unit issuance is equity issuance. We've been reluctant to issue equity at the current pricing level and the pricing level we've seen over recent months. So OP units there's still an arrow in our clover but it's not an arrow that we're particularly anxiously use at this time. I think over the longer-term OP units will continue to be an advantage that we and the other operators have and I would expect the ageing population et cetera, et cetera, that it may become more popular, may look for people to contribute their assets, if you will, into a larger and diverse portfolio with a good dividend payout.
Gaurav Mehta: Okay. And going to your under contract acquisition can you provide some details on what's in there in terms of cap rates and occupancy level?
Ben Butcher: Cap rates that have -- this is the portfolio where that is an agreement. Cap rates are still in the low to mid 80s. There is one vacancy in that building, in that portfolio in a rather strong market that we're looking at. So aside from one asset everything else is occupied.
Gaurav Mehta: Okay. And then lastly a question on your overall strategy, over let's say next few quarters. If your stock remains under pressure and you are running at let's say at the higher end of your leverage level would you be looking to cut back on the acquisitions or would you be open to taking on more leverage?
Ben Butcher: I think we actually would look at a different plan, which would be to access private equity, if we were deploying while weren't comfortable taking on more leverage and we don't intend to run leverage up outside of our promulgated bids. We would look at most likely at some form of joint venture to bring private equity into the transaction. As has been observed by many private equity has a very aggressive bid for U.S. industrial assets these days. As evidenced by some of the big portfolio trades that have made the headlines, KPR and Core, et cetera.
Operator: Thank you. Our next question comes from the line of Blaine Heck with Wells Fargo. Please proceed with your question.
Blaine Heck: Hey, good morning. So just following up on Juan's questions, you guys upsized your credit facility and issued a term loan recently. So looks as though you guys have good liquidity for deals that Geoff you send the debt to EBITDA I think is five times now. You target closer in the mid five. So how much capacity do you think you have to acquire using that debt without thinking about either slowing down or ensuring equity?
Geoff Jervis: I think rough number is somewhere between $300 million and $400 million of capacity if you think about it, it's large minimized thing because obviously as you add on since you're adding EBITDA so that numbers starts to move up, but yes $300 million to $400 million is a good number.
Blaine Heck: Okay, great. And Ben, a couple of times now you've mentioned JVs and the capital source going forward. Can you just talk a little bit more about what you think that would like? Would it be a JV on a large portfolio or a long-term partner in terms of funds for whatever opportunities arise, just give a little color on that?
Ben Butcher: Yes, and obviously this is in prospect. As prudent managers we will investigate further what it could mean for us. But we think that there is a pretty good chance that we may be able to continue to execute the way we always have using public equity et cetera. Having said that, the joint ventures that we would look at would have a healthy common investment from the company probably 25% to 50% or so. The company would earn fees from doing. The questions as to whether it was a seated joint venture i.e. whether assets are contributed, it is probably would be -- to be determined at this point and it could either be -- it would not likely be a static portfolio, so simply we can -- we identify assets and somebody buys into a partial ownership of that it would likely be a situation where if we contributed assets that will be the base in which a larger portfolio was growing. To that end, does that answer?
Blaine Heck: Yes, that's helpful. And then just one more from me lease term on the renewal seemed a little low this quarter. Is there anything to read through with that or tenants making more short-term decisions getting any uncertainly going forward or do you think that's just kind of an aberration for the quarter?
Ben Butcher: I think quarter-to-quarter statistics are kind of hard to look at in terms of much like a conclusion. Our retention at 90% on a ladder, so I think the anomaly for this quarter is unlikely to be repeated.
Operator: Thank you. Our next question comes from the line of Michael Carroll with RBC Capital Markets. Please proceed with your question.
Michael Carroll: Thanks. Have you guys had any advance discussions with any JVs partners yet?
Ben Butcher: We've had, people have loved them calls to us and we've had discussions with bankers who want to introduce to the people. But at this point we're just really contemplating and looking to investigate what the possibilities might be.
Michael Carroll: Okay. Then how long are you willing to I guess wait in the current market if before you would pursue a JV or access to the capital markets?
Ben Butcher: Well, I think as prudent managers we are going to investigate so we understand what that looks like. We had a quite a bit of runway as we've discussed it before to continue to operate the way we have because of all the -- because of our low leverage and low liquidity that's been established. So yet again as I keep saying, as prudent managers, we're going to investigate and take steps that we can access that market if we need to; it's not out preferred plan and hopefully will not be our plan. But we, yet again, we're going to figure out what's there and figure out the good counterparties might be.
Michael Carroll: Okay. And then last question Geoff. Did you mention the cap rate on the second quarter or the third quarter asset sales?
Geoff Jervis: We did not give the cap rate on the third quarter asset sales. The only cap rate we gave was the six cap on the one transaction post quarter end.
Michael Carroll: Can you give us the cap rate on the 3Q sales?
Geoff Jervis: It's more of a -- those sales are more sort of selling assets that were underperforming, some of them having entire or degrees of vacancies. So Dave what's the --
Dave King: We sold two large landscape buildings one to a user and a press that we like go up and the other to a, some that's been a redevelopment building. Again both were at prices above what we had valued those assets.
Operator: Thank you. Our next question comes from the line of Dave Rodgers with Robert W. Baird. Please proceed with your question.
Stephen Guy: Hi, Stephen Guy here with Dave. I just have a more high level question is the goal still to grow assets by about 25% on an annual basis or has that come down slightly as your model becomes more selective to make sure you're getting the right assets into the portfolio?
Ben Butcher: So, I think that a point that Geoff made during his portion of our call was very apt, it's where 25% is not necessarily a goal so much is an expectation that our model will allow us, our enquiries, our investigations, our depth of exposure into the market will allow us to grow at 25% a year. That's one of our observation that if we do what we do, we will grow that fast. But it's not a, we're not seeing in late November going Jeez with me to find some more assets so we can get to 25% growth. We're buying assets that meet our threshold return -- which meet or exceed our threshold return requirements. It again is our expectations that that will resolve the 25% growth for 2015, for 2016, and probably for a number of years beyond that. So again if not necessarily goals so much is an expectation.
Stephen Guy: Thanks. That's helpful. And then, so how much of the assessment model expanded in terms of the total number of assets considered as pricing has been driven up with competition more sellers coming into market, more bidders thing. I guess the buying and selling dynamics and how is that fitting into the model?
Ben Butcher: Well I think you've seen over the last couple of years as our pipeline has dramatically expanded that we are by virtue of our deploying more our ATM acquisition people going from basically the IPO about 2.5 to 7. We are more deeply exposed to the market. We have more people out there. If you will turning over stones to see -- define deals and being through the pile of financial transactions and find one that makes sense for us. So we’re seeing more transactions, we are seeing somewhat more competition in the markets that we're most active in. But again one of our advantages as we look broadly like about 90 different markets, no other organized capital is looking as broadly as we are. So we have a big advantage in terms of the number of transactions that we will see and therefore the number of transactions we may be able to accretive buy. Steve, do you have anything more to add into that?
Steve Mecke: Yes. I mean, I agree with Ben. It's definitely deal flow and the transaction volumes as high as we've ever seen it. But we’re once again as I said before we’re being disciplined, we’re being very careful what we’re buying. So the hit rate through the whole process is probably a little bit lower than we have been historically. However the model is telling us what we can do and we're very positive as we go forward, I mean there is a lot of product on the market.
Stephen Guy: Great, thank you. And then are you seeing --
Ben Butcher: And one of the things we had touched on earlier is a lot of product to market, a lot of people looking at that product. We don’t have a great sense as to whether or not there is any more assets being closed away from us than we have in the past, it’s a lot of activity but we’ve seen over the prior number of years, people announce they kind of move into secondary markets and they announced that but they don't actually transact. It’s one -- it's easier to talk about doing things than it is actually doing things.
Stephen Guy: Thanks. And are sellers pushing assets with greater credit risk than you have seen in sometime?
Ben Butcher: I don’t think there is any market change. Actually I would say generally the landscape of corporate credit is with low debt rates and all the weaker company commitments carved out seven years ago by the global financial crisis. I think you have a pretty healthy general corporate climate there. So I don’t know that we're seeing any particular pushing out of weaker credits or anything like that. Steve, you had seen --?
Steve Mecke: I mean we're definitely seeing a few more sale leasebacks coming our way which historically in the last year or two years hasn’t been the case but the mix is still the mix it's been pretty consistent.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Tom Lesnick with Capital One. Please proceed with your question.
Tom Lesnick: Hey guys. Good morning. Obviously you talked a lot about debt to EBITDA as being one of the primary metrics you look at with regards to your leverage levels. But as common shareholders I think you got to look at it including all levels of capital above you including preferred. So with relatively high cost preferred being callable here in 2016, what are your thoughts about using debt to refinance that or is that something you're considering using equity for?
Ben Butcher: I think as we would certainly look to call the 9% coupon preferred it would be very rationale to think about calling that one that was available. I think that we look at general part of our capital structure and we would use both debt and equity potentially to retire.
Operator: Thank you. Our next question comes from the line of Dan Donlan with Ladenburg Thalmann. Please proceed with your question.
Dan Donlan: Thank you. Good morning. Just wanted to go back to Juan's question on maintenance CapEx, you recorded a $0.20 per square foot number. Is that included in your total cost from a leasing perspective? I think for the year you're at a dollar, at least a dollar per square foot on total cost and leasing commissions and TIs?
Geoff Jervis: The $0.20 reflects kind of improvements, leasing commissions, and a building improvements, which should generally be growth expenses.
Dan Donlan: Okay. But you’ve done a dollar this year year-to-date and then you did about $0.78 last year, so just kind of curious what’s the delta between the $0.20 maintenance number and then what you’ve done for the last two years?
Geoff Jervis: Sorry the dollar is first of all for the deals done not spread across the portfolio trends on the $0.20 on an aggregate basis.
Dan Donlan: Obviously yes, catch that. Okay. And is there anything that’s driving the higher leasing cost per square foot number this year versus last year, you just may be higher amount of office and flats that you had coming here, what's the delta there?
Ben Butcher: It’s really driven by the one deal that had some retrofitting expense which could just finally be qualified as a building improvement but it's in that improvement number.
Dan Donlan: Okay, okay understood. And then as you look at acquisitions into next year, you talked about the 25% asset growth but kind of given what we've seen in the economy seems to be some softness how do you think about that and as your leverage level and everything else midyear, do you start to just peak back ahead of time or how should we think about your pace and also from that standpoint how do we think about your leasing going forward, as you start to maybe get more concerned or whatever maybe about the economy, can you start to kind of push for longer lease terms and maybe not try to push rents as much. And how do you think about that in the guide that economy could potentially be slowing.
Ben Butcher: Yes, I think one of the things to look at is that industrial demand generally it tracks pretty closer to GDP growth, and I think most of the things that you're hearing in the market now are talking about next recession three, four, five years away. We are not having a very robust recovery but we are having a very consistent recovery. And so since demand seems to be again not outstanding, but pretty persistent going forward and supply by most people's metrics is not going to catch up with demand, or even if it does it just barely catches up demand during that timeframe, you are looking at a very, very healthy fundamental industrial real estate market in United States for some time to come. We're not a macro investor, so we're looking at every asset within the context of the market and submarket that it's in and contracts of the tenants, the tenant's industry etc. So we believe that we could continue to identify accretive acquisitions through all market conditions. Obviously, there are some market conditions where it is tougher than others but from all things we have been able to see and read you have a pretty benign backdrop with which we are actually getting our investment thesis against for some time to come.
Dan Donlan: Okay. And then I guess I know you are an industrial operator, but how do you think about the leasing trying to -- is your weighted average lease term something that you guys try to something that you think about as you are managing the portfolio or it is really you are pretty much agnostic towards that or is there are any thought continue with that?
Ben Butcher: We are not agnostic as to projected returns. Every lease deals are negotiation with a tenant that tenant has certain things that there are hot buttons for them. We have things that are hot buttons for us but the best long term deal given the x locations for renewal at the end, the GI costs etc, all of it gets boiled down and they are making an assessment to what is the best long term deal for the benefit of our shareholder on that building without tenant for the benefit of shareholders. Again, the tenants come to those negotiations with things that are important to them and to the extent that you can satisfy those things you can get a better economic deal for the benefit of shareholders. So I think it is to some extent it certainly a reaction to what the tenant's outcomes are, but it is always an analysis by us of what we can do that is best for the building long term.
Dan Donlan: Okay. Thank you, Ben, really appreciated.
Ben Butcher: Thank you.
Operator: [Operator Instructions]. Our next question comes from the line of Mitch Germain with JMP Securities. Please proceed with your question.
Mitch Germain: Good morning guys. Just a quick one from me with regards to lease expiration schedule. Anything noteworthy with regards to over the next 15 months any big move outs that are scheduled?
Bill Crooker: We have a move out related to the termination fee we just received this quarter. There are no really sizable moving non-MS.
Ben Butcher: That is the previously discussed Bank of America deal we have talked about in the prior quarter.
Bill Crooker: But other than that there aren't really any sizable move outs that we're certain of today.
Mitch Germain: Great, thanks a lot, guys.
Ben Butcher: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes our time for questions. I would now like to turn the floor back to Mr. Butcher for any final closing remarks.
Ben Butcher: Thank you very much. Obviously, a very strong quarter and which is we believe actually keeping in trend with our other quarters. We have been doing things that perhaps get the growth going forward I think you are going to see -- we certainly expect to see continued growth in our per share metrics. We are very confident about the fundamentals and the support that comes from the strong fundamentals in U.S. industrial economy and very confident that our pursuit of our described five point plan of showing discipline in our equity issuance, discipline in the growth in the G&A and the future growth in G&A, making sure that we understand the opportunities that exist for alternative equity should that actually not be available from the public markets, all those things are very important to us as we make sure we are going to deliver the returns to our shareholders going forward. We have a great degree of confidence that both our model and our company are going to have very good days ahead. And we thank you again for your time and that concludes the call.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.